Operator: Good morning and welcome to Agios' Second Quarter 2015 Conference Call. [Operator Instructions]. I would how to like to turn the call over to Ms. Renee, Senior Manager, Investor and Public Relations of Agio's. Ma'am you may begin.
Unidentified Company Representative: Good morning, everyone and welcome to the Agios' sec quarter 2015 conference call. You can listen to a live webcast with slides Or a replay of today's call by going to the Investors and Media section of our website agios.com. With me on the call today with prepared remarks are Dr. David Schenkein, our Chief Executive Officer, who will review program progress to date and provide an outlook for the remainder of the year. Dr. Chris Bowden, our Chief Medical Officer who will review our recent Clinical development updates, and Glenn Goddard, our Senior Vice President of Finance, who will summarize Agios' second will summarize Agios' second quarter 2015 results. Before we begin, I would like to remind you that today's discussion will include statements about the Company's future expectations, plans and Prospects that constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors including those discussed in the risk factor section of our annual report on Form 10-K which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. With that, I will turn the call over to David.
David Schenkein: Good morning and thanks for joining us today. 2015 has been a busy year for Agios so par and we are excited to share progress we made over the past can quarter consistent with the clear pries we laid out earlier this we are. Specifically, [indiscernible] on the planned global registration programs, building out capabilities and continue to invest in research to maintain our leadership position in cancer metabolism and rare genetic het pollic disorders. Due to the incredible work from everybody in the Agios testimonial all four of our clinical programs Rae main on track and we expect to achieve all of our 2015 goals and smile stones. For the lead IDH programs, AG-221 and AG-120 we continue to execute on our strategy of speed and breadth by aggressively moving ahead in the leukemia setting and expanding that other settings and hematologic malignancies. These are highlighted by the speed with which we moved that eastbound mansion cohorts and our plan to initiate the first global face 3 trial for AG-221 later this year with our partner Celgene. We are driven by the fact that doctors haven't seen a Truly novel treatment nothings more than 30 years and as many of you know I'm one of those physicians and I know firsthand that patients and their families are counting on us. Behind our lead programs we continue to be very excited by the next wave of novel medicine being generated by our research team and look forward to providing further details as they advance. In the past quarter, we also add ad many new Agios' employees into critical position is as we build out capabilities to support trials and westbound a fully integrated late stage development and commercial organization. Our board of directors also continues to evolve and we are thrilled with the recent addition of formerly of Goldman Sachs as an independent director and appoint-of mark as the chairperson of our board. We would believe that our lie level of productivity which resulted in the creation of four novel investigational medicines in the six years since our inception truly sets Agios' apart. It is the result of the hard work from a fantastic team, our focus on patients and culture and Aaronic approach to dysregulated metabolism in cancer and rare genetic diseases. Combination of vision of clarity of purpose, people and progress set us firmly on the path to becoming multiproduct sustainable biopharmaceutical company with a broad pipeline of first in Class assets. I will turn the call over to Chris to review clinical updates and specifics of the clinical development milestones.
Chris Bowden: Thanks, David. We have made important progress on the clinical front so far this year. And I would like to begin by highlighting the data we presented at the European hematology association Annual Congress [indiscernible] Vienna in June. I will star with the AG-221 study in hematologic malignancies. This Stage one reconcile included a dose escalation stage now closed and five expansion cohorts. The updated data we presented from the dose escalation phase as well as an early data from the first four expansion cohorts demonstrated impressive clip activity, durability and easily manage the safety profile an important consideration for oral drug this patients with advanced disease. For the full study population an overall response rate of 40% and a complete remission rate of 16% was reported. With some patients staying on treatment for more than 15 months. For the patients with relapsed refractory AML the overall and complete response rate was 41% and 18% respectively. As I mentioned this is a very sick patient population with mainly advanced AML. The survival in Stan Dad of care would only be expected to last a few months. We are very pleased with the durable responses we are seeing with AG-221. We believe these responses are attributable to the [indiscernible] of action which by lowering levels remove the block and differentiations, put simply, the medicine is repairing the cancer cells. We are also encouraged by the long treatment durations observed in a number of patients who have achieved less than complete remission suggesting that they may be deriving significant clinical benefit from AG-221. For example, 18 patients with AML were reported to have a partial remission defined by the normalization of their hematologic parameters [indiscernible]. Is particularly is significant in AML since patients often die from infection or bleeding rather than the disease itself. We are extremely interested in these findings and will continue to work with physicians on determining their significance as we gather more data. Outside of the relapse refractory AML early professor of concept in untreated AML and myelodysplastic. Who are too sick to receive standard of care chemotherapy seven patients had an objective response including three complete responses. Of the 14 dysplastic - no standard therapies outside of [indiscernible] agents. We will be announcing our development plans in this [indiscernible] by the end of the year. Enrollment for the Phase I expansion cohorts are on track and we plan to initiate the registration enabling Phase III program in relapse refractory AML patients by the end of the year and beginning combination trials to evaluate AG-221 as a Po tension frontline treatment We are also studying AG-221 in a Phase I-2 trial and IDH 2 mutant positive advanced solid tumors and [indiscernible] lymphoma. This study will continue to dose escalate this year. And now for AG-120, as with AG-221, we are studying AG-120 in AML and other hematologic malignancies as well as in [indiscernible] tumor. New data from the dose escalation portion of the Phase I study of AG-120 in hematologic malignancies which is how to closed. Overall response rate of 31% in a complete remission rate of 1% with some patients on treatment for up to 11 months. The overall safety profile remains consistent in the 40 additional patients treated as of the last analysis and therapy has generally one well tolerated. Similar to AG-221, with AG-120 we are also seeing a number of patients with long treatment durations who have not achieved a complete sons which again introduces the potential of significant clinical benefit for this very sick group of patients who are not expected to live beyond a few months. This actual also includes three expansion cohorts that were initiated during the second ware and remain on track. AG-120 future development plan in hematologic malignancies is similar in scale and scope to AG-221. We are working to begin combination trials to evaluate AG-120 as a potential frontline treatment for AML by the end of this year and plan to initiate a registration enabling Phase III study in AML patients in the first half of 2016. Now to the AG-120 Phase I study in solid tumors which is on good morning. The purpose of this - ongoing, evaluate the safety, pharmacokinetic, pharmacodynamics and clinical activity of Alaska 120 in the broad side of advanced solid tumors that harbor IDH 1 mutation. Sarcoma and [indiscernible] have a higher frequency of IDH 1 mutation and are therefore more likely to be represented in the trials. A the moment the patients also have limited treatment options. With AG-120 unique mechanism of action we are continuing to evaluate how treatment with our molecule affects solid tumor cells and how this relates to criteria such as response rates and other measures. This is new biology unlike with hematologic malignancies with so id tumors there is no precedent to epigage the therapeutic affects in removing the block and differentiation. We plan to provide more background as the an investor and lust event in October. We also submitted an abstract with the first dose escalation data to the AACR-NCI-EORTC [indiscernible] in Juan in November. Finally from the cancer metabolism portfolio I would like to highlight the recent milestone achieved for AG-881 a small molecule brain [indiscernible] IDH inhibitor. This is the third program from the portfolio of IDH inhibitors to enter the clinic in less than two years. AG-881 represents a potential second generation molecule that we believe Mr. Expand our opportunities for clinical development across the spectrum of IDH 1 and IDH 2 mutant positive tumors. Mau you be especially important for glio ma patients with earlier preparation of the disease and that indication is represented in our Phase I trials. In June, Agios dosed the first patient MS a Phase I study of AG-881 in patients with IDH mutant positive advanced solid tumors including Brio mas and this week the first patient dosed in a second Phase I trial IDH mutant positive hematologic malignancies. Focused on patients whose [indiscernible] is has progressed on a prior IDH inhibitor. As with all of our phase one studies both trials will include first a dose escalation phase followed by an eastbound mansion phase to help us gather as much safety and clinical data as quickly as possible. We look forward to keeping you updated on this program as things progress. Now turn to AG-348 our lead and wholly owned novel first in Class oral pyruvate kinase activator. We alleviating in Druze PK a Phase II trial in adult transfusion independent patients with PK deficiency. We initiated this study following the presentation of the final Phase I multiple a multiple-ascending dose in healthy volunteers a EHA. Drive PK is a global open label multicenter randomized study that includes two arms of 25 patients each receiving 50 milligrams or 300 milligrams twice daily for at least six months. Aside program safety and tolerability we will evaluate pharmacokinetic and pharmacodynamics of AG-348 to confirm activation of the PKR pathway, will also be measured. We opened this study in June and enrollment is on track. We will keep you apprised of our progress. I would like to take a moment to remind you about the disease we are treating in this first in patient study. Pyruvate kinase deficiency is a serious hematologic disorder that cause severe symptoms in adults and children and can result in an eastbound [indiscernible]. Current treatment options which include transfusions, splenectomy and iron key late, only address patient symptoms. [indiscernible] program would be the first to correct the underlying cause of the disease. Our partners at Boston children's hospital also presented the first data from the ongoing that will history study at EHA. While the data showed a range of severity for the disorder, they also identified unifying characteristics such as iron overload which are common in all age groups regardless of transfusion history. We look forward to working with them as we continue to learn more about this rare disease. And David mentioned we are very excited by when is coming next in the pipeline and look forward to keeping you updated on the progress I cross all of our programs during the remainder year. With that, I will turn the call over to Glenn.
Glenn Goddard: Thanks, Chris. Agios is this is a strong financial position and well capitalized as we advance multiple programs in late stage clinical development. As David noted we are on track to achieve all of our corporate goals and milestones for 2015. With our tour clinical stage medicines advancing, approximately $434 million in cash and a great partnership with tell we believe we are in a strong position to build a sustainable multi-biopharmaceutical company. Moving on to the financial results for the second quarter. Our cash, cash equivalents and marketable securities as of June 30, 2015 were $434 million compared to $467 million as of December 31, 2014. The increase was drive bin cash expenditures for operating activities of approximately $64.9 million which was offset by $43.3 million of funding received from Celgene. The $43.3 million of funding from Celgene was comprised of the following eye testimonies - testimonies - items. A $20 million extension fee related to the final year of the discovery phase of our 2010 collaboration agreement, $10 million from the signing of our new worldwide development and profit share collaboration agreement for AG-881, and finally, $13.3 million related to IDH development cost reimbursements. Our total revenue was $13.2 million for the second quarter of 2015 compared to $8.4 million in the second quarter of 2014. During the three months ended June 30, 2015 we recognized $8.8 million related to the delivery of the Research and development expenses were $36.4 million in the second quarter of 2015 compared to $22.6 million in the second quarter of 2014. The increase was largely due to increased invest-in our three lead investigational medicines as they advance into later stage clinical development block with early development costs for our forth clinical program AG-818. General and administrative expenses approximately 8 P. $9 million at the second quarter of 2015 compared to $4.2 million in the second quarter of 2014. This increase was largely related to increased headcount personnel related expenses and other protection expenses to support our growing operations. Today we are also raising our previous year end cash guidance and now expect to end 2015 with more than $350 million of cash, cash equivalents and marketable securities. Yearend guidance does not include programs specific milestones we may be eligible to receive under collaboration with Celgene. We expect the cash position to give us runway through lay 2017. And with ha I will turn the call back over to David.
David Schenkein: Thanks, Glenn. We are proud of our 2015 accomplishments to date and look forward to keeping you updated as we execute on all our remaining milestones. As we mentioned previously, we plan to host an investor and analyst day this fall where we will spend more time roux viewing key disease areas would are targeting as well as future development plans in both cancer metabolism and the rare genetic disorders. I want to thank you all for your time today and as always we can to thank all of the patients, their care givers and Thursdays and doctors who have participated in our clinical trials a and office all our employees and shareholders for continued support. And with that, we can now go to questions and I will turn it over to you, operator.
Operator: [Operator Instructions]. Our first question comes from Yatin Suneja Cowen and Company.
Yatin Suneja: The first question on the planned Phase III trial. Give us more collaboration agreement in terms the trial design and have you received any input from the regulatory in the US and Europe or when can you share more information about that trial? And then I have one more question.
David Schenkein: So we are obviously very excited to begin this trial later this year - later this year. Our policy in general is no to really give out trial details until we are starting trial. You can expect to hear all of the details as that trial begins later this year. We are very pleased with all of the regulatory discussions we have had on both sides of the pond but have - we don't typically share any of those details. What is your second question?
Yatin Suneja: Yeah, so could you just broadly talk about the development strategy behind AG-881? Is this compound going to compete with any the other molecules? I know you have two trials ongoing and especially the hematology, the trial you are treating patients who have already progressed. Planning to develop it as a later line molecule? Could you give a sense of your strategy here? Thank you.
David Schenkein: Good question. I will start and then Chris can maybe give you a little more detail on the trials that are ongoing and what we are trying to get out of them. What we said is from the beginning when we broke open the IDH story our plan was to lead the IDH space both in biology and clinical development and to do that you really need as much flexibility as possible and that is why doing good drug development means having the lead molecules in the clinic and next generation molecules copping coming right behind. The reason that 8811 developed it is fully brain penetrant which may be important in patients with glio ma where the blood Brianza barrier likely to be more intact. I will tell you at a high level and Chris can walk you through trial hem malignancy 120 and 221 going into late stage development and into the market as quickly as ask and nothing will interfere with that from the 881 perspective. It is an important molecule to give us flexible and maybe Chris can talk a little bit with the current trial design. For the two Phase I studies the dose escalation trial one in patients with IDH 1 or Idaho 2 mutant positive solid tumors and a the other is in patients with advanced hematologic malignancies. And like all of our Phase I trials have a dose escalation component where we pharmacokinetics and safety to understand the safety the drug in patients and determine the potential doses we might study if we move into further development. And so that is really key that first building block of the development of the drug and in terms of if you can move into your next wave of clinical development you have to first establish that you a safe drug with a dependable dosing pharmacokinetics.
Operator: Our next question comes from the line of Anupam Rama with JPMorgan.
Anupam Rama: Two quick ones for me, from AG-348 we know you are studying about when kind of dosing frequency optionality you have in the EHA data in healthy volunteers and then just a quick follow on in drive PBS we know there is optionality for a third arm. Can you talk about the leverage and factors for consideration in potentially using that third arm? Thanks so much.
David Schenkein: The dose frequency randomized two doses, 50 or 300 milligrams bid. Various in [indiscernible] that the treating physicians and investigators can use if they run into toxicity and that is fairly well stated in the protocol. Based on our understanding of the molecules preclinical as well as clinical attributes and findings from the healthy volunteer study we are very comfortable with the dosing or the twice daily dosing regimen we put forward in terms of the initial investigation of both clinical activity as well as the impact on the pharmacodynamics endpoints published and talked about today. The aspect of a third arm is built in there and it is a flexibility mechanism that we want to reserve the right to quickly without [indiscernible] the protocol be-- amend the protocol be able to study another dose and potentially schedule if the data puts us in that direction. So there are no you know concrete set plans hat point to have the third arm in there. It is much more of allows you to move relatively quickly versus having to stop and amend the study and move in that regard. At the same time we have oversight of the trial here within the company and working with the investigators looking at the data with us if we had to make these types of decisions.
Operator: The next question from the line of Kennen MacKay from Citigroup
Kennen MacKay: Question on the design of the 881 trial in hematologic malignancies. Elaborate on the rationale for the - pyruvate kinase inhibitor is that to counter act resistance mutations in the other IDH Gene or more that are tumor heterogeneity or more - thank you.
David Schenkein: The reason we set the inclusion and exclusion criteria in terms of patients being eligible after they have been treated with an IDH inhibiter is that we want to move our AG-120 and 221 programs for those patients as quickly as possible. Those trials are well advanced and we know a lot about those drugs in terms of safety and efficacy and have a pretty ambitious development clinical program that we continue to outline. At the same time as we continue to engaging in rigorous drug development and looking at AG-88 we want to be able to offer an opportunity to study the safety of the drug in the mutant positive populations whether an IDH 1 or IDH 2 mutation.
Kennen MacKay: And then with AG-348 is there any options for doing sort of -
David Schenkein: Remember, this is - this is David here. This is an open label study and it is a Phase II study so there is no formal need for any interims. We will be evaluating data at the frequency which we normally do which comes in in discrete intervals so we can evaluate the data but it is an open label study.
Operator: The next question comes from the line of John Newman with Canaccord Genuity
John Newman: Sort of a follow-up to the last part of the last question. In 881 for solid tumors I notice that the inclusion criteria allows for failure of a previous IDH inhibitor and wondering if you can give us some sort of a sense as to maybe what portion of the patients in the solids that are enrolling in the solid tumor study for 881 are coming from the 120 study or if you know that?
David Schenkein: We don't typically talk about data coming out of the individual trials themselves until the data is presented at a meeting. So - and the 881 trial is just getting started so it is a little to even think about that. We think the likelihood is that patients treated with a previous IDH inhibitor who likely come from one of our trials but as you know there is another Idaho inhibitor in the clinic. We are not giving out any of those kind of details a at this time.
John Newman: For AG-348 closer not back half of the year how should we think about the data in the context of what is meaningful to the physicians that are treating the disease? Thank you.
David Schenkein: Well, I will start and then Chris can elaborate a little more. Ile reiterate as you know we have not put out any guidance yet on when to expect to see data from this trial. It is recently started and we look forward to enrollment continuing as well as it is today. And we will give our guidance at a later date in terms of when to expect to see data. In terms of expectations I will turn it over to Chris.
Chris Bowden: Well, at this point he would are really just moving into new ground and would are going to be looking at with investigators a lot of different parameters here. The thing that people are most interested in is do changes in ACP translate into some ultimately and does it reduce their need for transfusion and or eliminate or reduce the need for iron - splenectomies and some of the other really wad things that happen with the disease. It is a complicated multifactorial problem and we will be looking at linking laboratory outcomes that we will be following on this trial with our pharmacodynamics endpoints and how they translate to clinical out ops. It is too - outcomes. It is too early to make black and white correlations if marker X 2 PPG goes down by a certain percentage this is equivalent to - it is an exciting time given that the trial is open and enrolling a and we going to have data to start thinking about end N. patients with this disease.
Operator: The next question from the line of [indiscernible].
Unidentified Analyst: Can you men on what - comment on what are the key tumor types for the 881 Phase I trial?
David Schenkein: So we allow any patient into those - into the 881 trial who has any solid tumor as long as it carries either an IDH 1 or IDH 2 mutation. We are not specifying one tumor type over another. And we certainly as you know never give out guidance in terms of what we are actually enrolling. As Chris mentioned on the call, the frequency of mutations is higher in certain diseases and so you would expect over time to see more patients with cholangiocarcinoma. any patients with a solid tumor who carries mutations.
Chris Bowden: Let me add one other thing about the cop duct of Phase I trials in that we develop drugs and with the IDH inhibitors true that are targeted to a certain population. IDH 1 mutation positive tumors or patients with IDH 2 Mau expectation positive tumors and in a Phase I trial we are looking to [indiscernible] it aspects around safety and pharmacokinetic. You want to have as broad of a patient population that you can win that question [indiscernible] is why we are allowing patients in who may have had prior IDH treatment to get initial safety and pharmacokinetic safety.
Unidentified Analyst: Also I wanted to clarify the solid tumor Phase I trial you said the abstract was submitted for the EORTC meeting is that right?
David Schenkein: We have submitted abstract for the dose escalation phase of the AG-120 solid tumor trial for the triplele meeting in Boston in November and hopefully it will get accepted and if it is we will be renting.
Operator: The next question from the line of Debjit Chattopadhyay with ROTH Capital Partners
Debjit Chattopadhyay: Just wondering the collaboration any kind of update on that regarding identifying the right kind of patients who are most likely to respond to the IDH drugs that are currently being developed?
David Schenkein: We are pleased with the collaboration with foundation medicine which goes back to the first clinical trial that we conducted with 221. And it is important for us because it allows us to look or additional mutations that may give us information about activity or safety issues with our molecules and we think that is the rye way to do clinical - right way to do clinical medicine these days. We have shown the first data for AG-221 at recent EHA meeting where we showed that the on-study tumor genetics above and beyond IDH 2 did not predict poor response so we are early in learning the biology here and so for all of our trials we are continuing to work with foundation medicine to give broadest the picture of the genomic profile of the patients not only as they come into the study but over time. They have been a terrific partner for us and we look forward to continue working with them.
Debjit Chattopadhyay: And then for 348, was there any kind of preclinical significant that will or any kind of rationale for the inhibition that you saw?
David Schenkein: Well, we do know that we had mentioned this before when we were at EHA that we had some preclinical data that the molecule did have some off target binding of aromatase. As you remember from the data the levels were altered in some of the volunteers all in the normal range and of up clear clinical significance and that is why Chris and his team have built in a more robust look at that in the drive PK study. We know there were potential for off-study binding of aromatase.
Debjit Chattopadhyay: In looking beyond the IDH mutations in the broader cancer metabolism space what would be the most logical thing you would go of a? And thank you so much for the questions.
David Schenkein: Obviously it is started with a clear mandate to explore what we hunk is one of the most exciting new areas of cancer biology and that is cancer metabolism and we built a robust research team that allows to us fully explore the area. Every target we are working on IDH are essentially novel targets that we have in large part discovered at Agios and we are, cited about the next wave of cancer metabolism targets but competitive reasons for quite a while. We think it as reach area for [indiscernible] is discovery for truly novel targets that we think can make a meaningful impact in patients' lives. We are early on. I couldn't give you yet which target are we most excited by because we have quite a too.
Debjit Chattopadhyay: Would Celgene have first right of refusal for those upcoming programs as well or once the collaboration finishes in 2016, rye, then Celgene doesn't - it belongs to you at that point?
Chris Bowden: That is potentially correct. So the research relationship with Celgene in which they get an option to license cancer metabolism molecules does end in April of 2016. And anything that is in the early stages of research comes back to Agios wholly owned. There may be a handful of molecules that are very close to clinical development in which case they get split between Agios and Celgene and we articulated that research that Agios is doing will we all wholly owned after that time period.
Operator: [Operator Instructions] Our next question from the line of Arlinda Lee with MLV & Co
Arlinda Lee: One can you clarify what accounting changes that if you get any additional milestones from Celgene how you would recognize that? And then secondly with the ASH abstract deadline I think last week or this week can you comment on what you submitted to be presented there? Thanks.
David Schenkein: Yes, I will answer the second one and then Glenn will answer the first one. We are not commenting around abstracts for ASH at this time. If we do plan on presenting at ASH we will give you guidance on that at our later date.
Glenn Goddard: On the rev the likely scenario would be those would be substantial milestones at the time of receipt we would have met the obligations and recognized immediately. Remember in the milestones that could come up in the future are clinical regulatory approval and commercial. So the milestones that were eligible or would be treated would be substantive milestones treated likely when he would receive them.
Arlinda Lee: In the cash or in both cash and revenue?
David Schenkein: The cash is received and the obligation fulfilled or milestone met the cash receipt is a critical piece of that. Once the cash is in we would likely recognize the revenue in ha order.
Operator: The next question from the line of [indiscernible].
Unidentified Analyst: I guess as we look forward to the 120 solid tumor data maybe could you help us in setting our expectations here I guess compared to AML which is an aggressive cancer it appeared that survival was a strong indicator of therapeutic activity. For the solid tumors where some of the tumor types are much less aggressive will we be needing to look at survival or are there other reliable biomarkers we could be looking at? And also for 348 as you begin to enroll patients in the drive PK trial could you give us a sense of the level of difficulty it is in finding these patients and the spectrum of symptoms they are experiencing? Thank you.
David Schenkein: So James I will start with first one and Chris will take the second one. On the solid tumors as Chris pointed out would are in a new area of biology here and we will try and spend some time at our analyst day in October and walk you through some of the diseases that we are enrolling into the solid tumor trial. These are very sick patients also want to remind you that the first part of the trial in the abstract is dose escalation and the primary endpoint and expectation there is to for cuss on safety, pharmacokinetic, farm co-die pharmacodynamics as we dose escalated. We will give you an update at the analyst day in the fall. And I will have Chris walk you through the 348.
Chris Bowden: Thanks. So the two points of the question were around enrollment challenges and what is the can constellation of symptoms we might be seeing in the trial. It is early days, the trial recently opened but rare encouraged by the accrual and activity we are seeing so far in terms of patients coming in and patients being screened and all of those types of operational details that give one a sense of how things are going. I want to point out that the natural history study which is being run at Boston children's hospital with Dr. Rachel Grace as that investigator provides an opportunity with the patients with the diagnosis of pyruvate kinase deficiency who might be eligible for the trial gives them a potential Montreal Expos nice tomorrow be informed of the trial if we don't have the history study. This is a rare disease but we are encouraged by what we are seeing so far. With regard to the symptoms it is too early to tell. We haven't commented on any data. The trial just opened. Transfusion independent adult population and some might come away with the feeling with that that this is a less sick or less symptomatic group and I don't make that assumption myself. One thing we do know from talking to investigators and looking at a little bit of the natural history data presented is that the range of hemoglobin's can be quite low so if you take the adult hemoglobin should be 12 or 13 or higher and we see patients in the eights or area like that symptomatic from the disease, does our drug increase hemoglobin to make them feel better. So stay tuned.
Operator: At this time I'm showing no further questions. I would like to turn the call back over to David Schenkein for closing remarks.
David Schenkein: I just want to thank everybody for your support and for your questions and hope you enjoy the rest of the summer and look forward to seeing you in the fall. Thanks again.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Have a great day.